Operator: Good morning, ladies and gentlemen, and welcome to the ORBCOMM and Inmarsat conference call. (Operator Instructions) After the speakers' remarks, there will be a question-and-answer period. (Operator Instructions) A replay of this conference call will be available beginning at around 12.00 noon ET today until Tuesday, November 19th at midnight. The dial-in details for the replay can be found in today's press release. Additionally, ORBCOMM will have an audio webcast available on its web site, at www.orbcomm.com. An archive of which will be available for the week. I would now like to turn the call over to Marc Eisenberg, ORBCOMM's Chief Executive Officer. Please go ahead, sir.
Marc J. Eisenberg: Good day everyone. Thank you for joining us on the call. My name is Marc Eisenberg. I am the CEO of ORBCOMM, and I am joined today by Rupert Pearce, the CEO of Inmarsat. Today we are excited to announce a strategic alliance between our two companies. The alliance is focused on product development and distribution, but there is also potential for collaboration on future product, service, distribution and network expansion and integration. It also gives ORBCOMM access to Inmarsat M2M authority and a portfolio of services that includes IsatData Pro or IDP and BGANM2M. It’s an important alliance with significant benefits for both our companies. So we are pleased to have the opportunity to walk you through the details of the announcements and answer any questions. Rupert and I are currently on separate continents, so we will do our best to tag team through this. When you consider the capabilities this alliance brings together you can understand why we're so excited about collaborating with Inmarsat. Inmarsat is the leader in the mobile satellite service market or MSS, with revenues north of $1.5 billion, that's larger than all of the other MSS players combined. Inmarsat is the leader for connectivity in maritime and aviation markets and is quickly growing in the voice markets as well. We at ORBCOMM are the leader in satellite based machine to machine or M2M markets and we currently have more than 800,000 subscribers fielded, and unparalleled distribution and solutions in the global market. However when an M2M service provider needs to select multiple networks to solve different needs, it is difficult to switch due to the lack of standards and scale. The M2M service providers is concerned about different programming environments, different power requirements, multiple hardware footprints, multiple provisioning formats, managing across billing platform, whole while trying to hit price points. In addition there is a challenge of using multiple technologies like dual mode and integrating with multiple networks like terrestrial networks. ORBCOMM is creating a series of modems that will enable the M2M market to overcome all of these challenges and meet their satellite communications needs, more easily than cost-effectively. These modems including an OG2, VHF-enabled modem and an ISAT L-band enabled modern are expected to have the exact same footprint, the same connectors, the same power inputs, the same programming environment, the same provisioning portal, same billing engine, the same multi-mode offerings and sell for a similar price which is expected to be under $100 per unit in larger quantities. End users will be able to drop in the appropriate modem based on geography, message size, delivery speed and regulatory environment. Based on the strengths of the combined networks, the resulting servicing offerings will be unparalleled in terms of performance, global licensing, and ease of use. In addition, we’re developing a modem to take advantage of the Globalstar one-way satellite network. This modem is build on the technology ORBCOMM obtained through our acquisition of the SENS asset tracking operation. The SENS product is a great complement to our offering due to its battery management capability. ORBCOMM’s partner, Quake Global is also expected to support this project by enabling its products on a standard platform. Key to this offering is ORBCOMM’s unique MAPP or Multi-Network Access Point Platform, which seamlessly translates and integrates the communications from our diverse network service partners into a uniform set of commands and information to facilitate provisioning, billing and multi-mode access for M2M applications. This is just another way we’re setting the standard for the global M2M industry. This alliance with Inmarsat further strengthens our solutions business and builds upon recent deals with Ryder, Doosan and other leading companies. Our solutions business has already started to incorporate this enhanced offering in our GT 1100 products, which can accommodate all modems. As well as enhancing our product offering, this alliance supports our solutions business by greatly expanding our distribution platform and broadening synergies across the M2M ecosystems. These services will be available for sale through Inmarsat and ORBCOMM distribution networks. This combines ORBCOMM’s strong North American and Japanese distribution with Inmarsat’s strong global presence. The OG2 modem will be ready for developers late this quarter and the Inmarsat modem is expected to further evolve in the middle of 2014. This combined products offering really gets to the heart of the needs of the industry, hit some compelling price points, opens up markets like China and Russian while expanding and streamlining distribution across more geographies and more addressable markets such as heavy equipment, transportation and distribution and fixed assets. The alliance significantly furthers the development of our solutions business and positions us to better drive value creation for our shareholders. We couldn’t be happier with this new relationship with Inmarsat. I have long admired Inmarsat, Rupert and his management team. Both our team share a vision for innovation and collaboration and we see potential to continue to build on this relationship in the near future. With that let me turn the call over to Rupert.
Rupert Pearce: Well, thank you, Marc. Thank you for those kind words as well. Just before I press, I want to make one point of clarification, more of very kindly, that’s comprising the satellite revenues north of $1.5 billion and I like to confirm that it is north of $1.2 billion today, otherwise certainly hope that this very exciting collaboration we will put us well on the way to being north of $1.5 billion in the near future. Well, let me say, we are also very excited by the prospects for this strategic partnership. It’s a great opportunity for each company to focus on its relative strengths to produce a ground breaking solution for the M2M market. Combining Inmarsat’s strength in global network management and higher bandwidth services with ORBCOMM, complementary strength and M2M product design and distribution, meaning we can offer our customers an unrivalled satellite M2M communication solution and a much broader portfolio of services together. As people who all know, we at Inmarsat will be looking at the tougher M2M market for sometime, given the very strong demand trends in the market and the relevance of our global Inmarsat-4 network to emerging M2M service requirements. And the choice to partner with ORBCOMM was a natural one. ORBCOMM is clearly the global market leader in satellite M2M. It has an industry leading distribution channel and it has an unmatched track record in developing innovative customer solutions. So Inmarsat will be able to immediately leverage ORBCOMM’s scales, hardware bill, its expertise in delivering solutions, provisioning and billing platform, what is done around power management and the relationship to build in the Tier-1 terrestrial M2M community. By partnering with ORBCOMM, speed to market and segments like heavy equipment OEM will not require years of investment in development for us. But very exciting we expect to have a combined product out in less than a year. And this alliance also strongly complement our SkyWave collaboration and indeed leverage is off SkyWave’s own IDP, IsatData Pro transaction foundation as well as our own core technology. ORBCOMM and Inmarsat both look at this strategic collaboration opportunity in two phases. Marc spoke about Phase 1 all the products and marketing opportunity. I’d like to expand a little on a potential Phase 2. As a satellite operator one of our principal responsibilities is to manage capital efficiently especially on satellite fleet development and deployment. In due course therefore our expected team are going to look at opportunities together for synergies in capital deployment for M2M services, ranging from the operation of our various network, the distribution opportunities to combine product and technologies that could be [indiscernible] land based opportunity. While we’re in the very early stages of looking at some of these infrastructure collaboration opportunities, we do believe there may be significant opportunities ahead of us to share efficiencies and/or growth investment. Of course Inmarsat and ORBCOMM are in very active thoughts for respective CapEx cycles. Speaking for Inmarsat when the process of deploying Global Xpress and the Service Enablement Platform and we’re beginning to think about the design of our Inmarsat-6 constellation which we’ll launch towards the end of this decade. ORBCOMM is in the process of launching OG2, is developing the associated OG2 product and it’s starting to think about OG3. So those activities especially the infrastructure developed activities may yield synergy opportunities for both parties supporting closer strategic alignment in the future. So to conclude, we at Inmarsat are very happy to engage with ORBCOMM on our combined product offering. This combined solution will address many of the complexities the developers in the global M2M industry space. Our enhanced product offering available to our combined distribution network will enable both companies to more effectively tap into the rapidly growing global M2M market. And as a result create additional value for our respective shareholders. Inmarsat and ORBCOMM expect to have competitively priced equipment paired with unmatched performance and services to be a game changer in the M2M industry. In addition, we are excited and are looking at further opportunities to collaborate and drive shareholder value. I have great respect for Marc and his management team and I sincerely look forward that Inmarsat and ORBCOMM working together to deliver unique value to our channel and our customers. So at this point, we now like to take your questions.
Operator: (Operator Instructions) Our first question will come from the line of Jim McIlree from Chardan Capital. Please go ahead.
Jim P. McIlree – Chardan Capital Markets LLC: Thank you. Good morning. Can you talk about how the respective sales force or distribution channels will be compensated as they try to cross sell the other company's products?
Marc J. Eisenberg: Yes, I don’t think there is going to be much of a change in how we’re going to continue to compensate them. The idea is to make it in difference as to which product that they sell, no benefit to selling the OG2 or the ISAT modem. We want them to sell those equally.
Jim P. McIlree – Chardan Capital Markets LLC: Okay. And Marc, I missed it. When is your modem going to be available for the – I think you talked about the Inmarsat modem available in the middle of 2014, but when is your modem expected to be available?
Marc J. Eisenberg: This quarter.
Jim P. McIlree – Chardan Capital Markets LLC: This quarter. Great. And when does the join marketing begin? Today or is that sometime next year?
Marc J. Eisenberg: Hi, it’s tomorrow. We have joined calls tomorrow with specific customers that are designing products. A couple of – in some cases a year out. The Company’s will be joining each other on a trip to Asia. ORBCOMM will be at Inmarsat conference in November in Istanbul. It’s starts now.
Jim P. McIlree – Chardan Capital Markets LLC: Okay. And as far as phase two goes, what are the hurdles in the milestones that you're looking for in order to determine whether or not you should capitalize on the potential synergies and the network deployment?
Marc J. Eisenberg: The two companies set out to work together to add distribution, to add scale, to maximize CapEx. We are still figuring out the best ways to do that. To start, we know for sure that we can create a hardware standard that takes advantage of both networks. I mean think about it, it gets combined distribution rolling that gets us to just about global coverage even from a regulatory standpoint. We get the scale from a hardware perspective and we make it incredibly easy for customers. We are already off to a great start. But let’s see where it goes, both companies have similar cultures and we have a great deal of respect for one another. From here I don’t think that – anything that works for both companies won’t be looked at. If we do something with spacecrafts, can we get ISAT coverage over the poles or ORBCOMM more capacity over populated areas, ground infrastructure we both operate earth stations and can ISAT backhaul our data, operations, Inmarsat is the best-in-class satellite operator. Licensing, we both have country representatives than can certainly help. Distribution, here is a number for you. I think ISAT has more distribution in Russia than ORBCOMM has distribution. So I guess that even if we stop right here, it’s clearly a win for both of us, but if we could figure out how to do more even better, I’m pretty excited about it.
Jim P. McIlree – Chardan Capital Markets LLC: Yeah, okay great.
Rupert Pearce: Yes, I think he resonates as me. Marc was bang on. Clearly the absolute priority right now is to make Phase I work. I mean, let’s not worry about terminology. Phase I isn’t something in the next release or anything else. It is a very, very, very exciting collaboration and it’s going right. As Marc had said, we deliver very, very complimentary capabilities to ORBCOMM’s undoubted leadership in M2M. We deliver very high throughout, high resilience, high capacity capabilities on a global basis. And with the combination of that with ORBCOMM’s tremendous innovation both upstream and downstream in M2M that’s a great, great combination for mutual benefit. So we kind of get that out of the gate very quickly into the arms of ORBCOMM customers and ORBCOMM’s and Inmarsat distribution to hit the ground running with a real killer combination. That’s the priority focus right now as you would expect. But behind that success will come a broader review of opportunities to go further together in terms of efficient network and capabilities to the next generation as well.
Jim P. McIlree – Chardan Capital Markets LLC: All right, very thanks and congratulations.
Marc J. Eisenberg: Thanks, Jim.
Rupert Pearce: Thank you.
Operator: Your next question will come from the line of Mike Malouf from Craig-Hallum Capital Group. Please go ahead.
Mike F. Malouf –: Great. Thanks for taking my questions, and let me give my congratulations, too. It sounds like a great combination. I have a question with regards to sort of real-world examples. I'm wondering, Marc, if you could just take us through maybe a hypothetical situation where before this transaction, or this agreement that you guys have put in place, an end user would not be able to capitalize on satellite M2M, but that now with this, let's fast forward to the end of next year, that they would. And where would these incremental sales typically come from?
Craig-Hallum Capital Group LLC: Great. Thanks for taking my questions, and let me give my congratulations, too. It sounds like a great combination. I have a question with regards to sort of real-world examples. I'm wondering, Marc, if you could just take us through maybe a hypothetical situation where before this transaction, or this agreement that you guys have put in place, an end user would not be able to capitalize on satellite M2M, but that now with this, let's fast forward to the end of next year, that they would. And where would these incremental sales typically come from?
Marc J. Eisenberg: There’s two ways to look at it, Mike. I mean just from the global nature of this, practical example would be in OEM that wants to build one set of hardware and deploy it globally. So Inmarsat has unparalleled licensing globally. So you add to the ORBCOMM offerings in places like China and Russia and countries that ORBCOMM doesn’t have regulatory approval and literally you just snapped in a different modem and you get your hardware promulgated and you’re off and running. I mean you’ve got just about a global network right now and no one has ever been able to put that sort of opportunity together. Another example would be someone who builds a set of hardware and gets deployed in different geographies and in some cases the ORBCOMM service is perfect. It’s got urban canyons. In other cases you need lower latency solutions. The coverage is different over the equator. I mean if you look at what’s like unique about this service that we’re putting together I mean it’s everything. I mean you’ve got a product in ORBCOMM territories, you’ve got a product in ISAT territories. Think about where an OEM can roll out almost anywhere. You’ve got no latency solutions. You’ve got VHF solutions which are perfect for urban canyons. You’ve got small antennas. You’ve got battery efficient solutions. You’ve got indoor solutions, higher bandwidth solutions and really all the user needs to do is snap in modem A or snap in modem B without different programming requirements. Think of the applications we’ve been building. We have trailers solutions, heavy equipment solutions, container solutions, trucking solutions, dual-mode solutions. As we look at this product and putting these two networks together, I think we’ve covered just about every base. Not to mention we’ll have the most cost-effective satellite multimode solutions. Keep in mind; one set of provisioning, one set of billing, one point of connectivity. We’re going to hit the price points. We’re going to make it easy for the developers. I think we’re going to do really well with this.
Rupert Pearce: I’ll add one other thing to Marc’s comment there, is that we’re not talking about an approach here that is silos. So might when somebody wants to pick a number of those by turn and take a multimode capabilities, so let’s say they might want to run a suite of OG2 based services and may be some higher bandwidth 2A M2M services, deployed across the Inmarsat network that could be integrated across ORBCOMM’s unique platform, the MAPP platform. So that you can actually deliver a seamless one stop shop for multiple, rich and soft M2M services on a global basis to do that customer which is really unique and very, very possible.
Mike F. Malouf –: That's great. And just a quick question with regards to the spending. Is there going to be any material increase in the CapEx associated with this?
Craig-Hallum Capital Group LLC: That's great. And just a quick question with regards to the spending. Is there going to be any material increase in the CapEx associated with this?
Marc J. Eisenberg: There will be an increase in CapEx but it’s – it wouldn’t be material because this is, it’s kind of right on the same process as the OG2 modem. These modems use – I don’t know the exact number, but it’s like 80% of the same parts we’ve already built connectivity into or hardware applications to accommodate the L-band modem. There is millions of dollars that we put into modems. But incrementally it’s not a huge spent.
Mike F. Malouf –: Okay, Great. Thanks again and congratulations again.
Craig-Hallum Capital Group LLC: Okay, Great. Thanks again and congratulations again.
Operator: Your next question will come from the line of Chris Quilty from Raymond James. Please go ahead.
Chris D. Quilty – Raymond James & Associates, Inc.: Thanks, Marc. I just wanted to follow-up on that earlier question with regard to the hardware development. You've been spending some time and money to develop the OG2 series. Was this announcement anticipated? And was the L-band capability, antennas and whatnot, pre-designed into the hardware? Or do you need to go back and do further modifications to the stuff you had in the pipeline?
Marc J. Eisenberg: Yes, we are going to be using the Inmarsat networks slightly differently than what you’re probably accustomed to. So in order to close the link we’re going to be attending couple hundred by packets. So the L-band modem will be a small patch antenna. So there is room inside like the GT 1100 to accommodate the antenna inside the box.
Chris D. Quilty – Raymond James & Associates, Inc.: Got you. So, not a significant incremental investment?
Marc J. Eisenberg: Absolutely not and we’re going to take antennas which historically people thought were multi-hundred dollar antennas and taking some of these down to $20.
Chris D. Quilty – Raymond James & Associates, Inc.: Got you. And for Rupert, can you talk about – you mentioned SkyWave, but I think SkyWave and Satamatics, your two primary hardware providers – how the arrangement with ORBCOMM impacts those relationships?
Rupert Pearce: But I think it’s broadly positive for two reasons. One is the ability to deploy these multimodem, across our existing distribution network. And the other is the fact that we’re expanding the universal opportunity for SkyWave’s own Inmarsat based product and to be the IDP, Inmarsat Data Pro capability which is being made available for the strategic collaboration to ORBCOMM. So net, net this expands the marketplace for our strategic collaboration with SkyWave and expands the market generally. Downstream, we do not see SkyWave and ORBCOMM pointed at same markets at all. They inhabit different parts of the M2M settlements if you like. So we don’t see much of risk at channel conflict.
Chris D. Quilty – Raymond James & Associates, Inc.: Got you. When you talk about the network side, and specifically the state side of the network, and possible collaboration, I’m scratching my head to a degree given the LEO-GEO difference between the two companies. But are you perhaps implying a way to work in SB-SAT type of solution with a swift broadband for satellites where OG2 satellites could incorporate a capability to backhaul traffic across the I-4 constellation? And obviously if that’s the intent, I’m assuming it’s not possible with the current batch of 18 satellites that ORBCOMM has already designed, but maybe this is something down the road? Am I in the right ballpark?
Marc J. Eisenberg: Yes. Sorry to interrupt. Yes, I agree. I mean that is one example where you could actually look at next generation network architecture that will be good to both parties and could elaborate the capabilities of the GEO network to provide that kind of data linking. But it worked both ways, I mean, remember that we’re making a lot of investment around platform and portable technology through the service enablement platform. That has generic functionality that could be applied to M2M services. We have projected litany of satellites to be developed and deployed over the next decade including the whole of the Inmarsat-6 franchise to replace the Inmarsat-4s. There I think you might want to do that to carry ORBCOMM capabilities and vice versa. So the universe of opportunities is wide-open and we not running at any particular rabbit hole yet because there we’re going to get Phase 1 up and running and successful in the market. We think skills of ORBCOMM and Inmarsat are highly complementary and out of that business and strategic relationship would grow the kind of trust and confidence that will build longer term roadmap for deep collaboration.
Chris D. Quilty – Raymond James & Associates, Inc.: That’s it. Thank you, gentlemen.
Marc J. Eisenberg: Thanks, Chris.
Operator: (Operator Instructions) Your next question will come from the line of Giles Thorne from Jefferies. Please go ahead.
Giles D. Thorne – Jefferies International Ltd.: Hi, there. Thanks for taking my questions. These are actually two questions for Rupert. Hi, Rupert. I just wanted to get a sense of how much upward pressure this strategic alliance is going to put on your 2014 to 2016 guidance? Yes, no surprises on that question. And perhaps the flip side of the same question, which is, can I get a sense, please of what is the risk of cannibalization to perhaps your installed base of M2M customers or subscribers from effectively ORBCOMM’s capability into line with yours? That’s probably an overtly bearish way of putting it, but I’d be interested to hear your view.
Rupert Pearce: Okay. Well, it probably won’t surprise you, Giles that I don’t think we’re in a position to given any guidance whatsoever about the revised guidance about 2014 to 2016. As you’ll be aware I’ve got a conference call in just a day and a half looking at our Q3 results and looking ahead. And so I think we should leave that there. I think I see this – it’s a bit too early to be able to translate this strategic alliance into something as tangible as that, but this I think should be seen more as a significant step towards the kind of promises we’ve made about being a serious player in the global M2M market in recent quarters. This very much is the key component of that. So to that extend at this stage, I’d say that’s within the current guidance. In terms of cannibalization, I’m going to partly answer that question around SkyWave, I mean, the big drivers for growth in our M2M business at the moment are SkyWave’s IDP product, which is going very well and BGANM2M, where it’s early days, but it’s a very, very popular proposition. I’m very, very encouraged by the enthusiasm that ORBCOMM has to take those products and deploy it through their own networks, through their own unique and differentiated customer stat. So I think that is accretive, to us not cannibalistic. Beyond that, I think the clear water between where ORBCOMM traditionally goes and where we have gone, if you look at our maritime business, for example, the BGAN NSFD [ph] installations and D+, I think those are areas where we have leveraged our traditional GEO capabilities, our tremendous global coverage, low latency and high resiliency. We’ve naturally gone into different places and that’s make this, I think, an accretive deal.
Giles D. Thorne – Jefferies International Ltd.: That’s right, clear. Thank you.
Operator:  And your next question will come from the line of Jim McIlree from Chardan Capital. Please go ahead.
Jim P. McIlree – Chardan Capital Markets LLC: Yes. Thanks, again. Marc, are there any incremental R&D dollars that you’ve committed to make or to spend for this? Or, is this something that you’ve already been working on and this is just the consummation of the prior work?
Marc J. Eisenberg: It’s definitely stuff that we’ve already been working on, but that being said, in terms of a commitment, we’re committed to build this modem both internally and externally.
Jim P. McIlree – Chardan Capital Markets LLC: And are you receiving any compensation from Inmarsat for that?
Marc J. Eisenberg: No, this modem is our modem.
Jim P. McIlree – Chardan Capital Markets LLC: Okay. So the sale process would be, you make the modem or your outsource partners make the modem; it gets shipped to Inmarsat distribution and you collect the tail on that?
Marc J. Eisenberg: Yes, they would purchase it through us.
Jim P. McIlree – Chardan Capital Markets LLC: And then, the network fees would just be run through whoever’s network is using that particular modem, is that right?
Marc J. Eisenberg: No. The network fees are coming through ORBCOMM. ORBCOMM’s IP gateway is going to be receiving ORBCOMM data and Inmarsat data and people will be able to draw data right through that gateway and it will be build right through ORBCOMM. That’s part of the cool thing about this is, it’s one set of provisioning, one set of billing. The ORBCOMM switch things in Inmarsat modem is an ORBCOMM modem. So we are creating something unique. We are taking some ISAT and some SkyWave technology, but we’re kind of customizing it to make it look like ORBCOMM. This is not just a pure resell situation here. So we are creating our own product line using their spacecraft, leveraging some of the SkyWave technology and that’s what we’re selling through both distribution teams.
Rupert Pearce: Yes, and then just to add to that. Inmarsat has made a virtue throughout the history of being a focused wholesaler. So we’re very comfortable working with that kind of relationship with ORBCOMM as one of the reasons why this opportunity works so well. We are well used to doing the network delivery piece and then dovetailing that in to a channel partner like ORBCOMM, a strategic partner that can turn that into a highly bespoke unique value-added service and solution by bringing other things to real connectivity. That’s always been our business model and we think it’s one that will work particularly well in the M2M business space where very much of the end for the value inherent in the end solution has nothing to do with the delivery mechanism.
Jim P. McIlree – Chardan Capital Markets LLC: Okay. And given that you're both on this call, I'm assuming that this is something that you have high expectations for. We're finance guys. So, can you help us try to quantify what that impact might be?
Marc J. Eisenberg: We already have a $300 million to the revenues, Jim.
Rupert Pearce: Gratefully received.
Marc J. Eisenberg: I think this is a significant deal for us. I mean it’s difficult to size because we’ve just announced it and we’re – this week going out and starting to speak to the various companies out there. And the questions that we have received today, and maybe that’s the way I’ve presented it, are mostly about selling network services, but a key part of it is StarTrak and GlobalTrack and all these guys have done a great job selling in North America and Inmarsat is going to help us take those applications which you’re doing so well here in the U.S. and to distribute them globally. So it’s the full platform. In terms of China, to size the business, I mean it’s tough to come up with a dollar amount, but we think it’s going to be significant just looking at the global landing rights approval. We think this is significant and so that the real-time nature of the offering and the price points that we expect it to sell at, we think it’s going to be pretty significant. Maybe not so much in 2014 because we need to continue to build the modem, but we think we’ll close deals in 2014. But 2015 and beyond, that’s where we think it’s really going to start hitting in better volumes.
Rupert Pearce: Yes. From Inmarsat perspective Jim, I’ve to say that we said for quite a long time and we intend to be really major player in the global satellite M2M, which we see has high growth, high potential, significant insight already on a global basis and a perfect fit for the ORBCOMM networks, particularly the Inmarsat-4 network, that we spend $1.8 billion building and deploying, anyhow it is tremendously popular network to serve those markets and Marc said strongly complement to ORBCOMM network. That is part of what is driving our confidence but over the 2014 to 2016 period the next three years – kind of the years ahead of us. We’ve been comfortable committing to an 8% to 12% wholesale MSS revenue growth over that period up to the key infection point in our great trajectory over the next three years is the launch and deployment of our Global Xpress network which is completely different thing, but that growth in Ka-band is supplemented by continued growth in our L-band services and in that area M2M, we expect to be a meaningful contributor over the next successive years.
Jim P. McIlree – Chardan Capital Markets LLC: Okay, great. Thank you.
Operator:  And your next question will come from the line of Wilton Fry from Merrill Lynch. Please go ahead.
Wilton G. Fry – Merrill Lynch International: Hi, Rupert. It's Wilton Fry, from Merrill. You make quite a good job of explaining the complementary nature of the businesses. It just begs the question why didn't you buy ORBCOMM? It's only 4% of your enterprise value. Thanks.
Rupert Pearce: That’s not a leading question at all Wilton.
Wilton G. Fry – Merrill Lynch International: No, I just wondered. It's such a small business relative to yours in enterprise value. You have made a good job of explaining why it's complementary. I'm just wondering, you must have as a Board thought about whether you buy it or whether you have to do a strategic alliance with them. I just wondered why you ended up going down this route?
Rupert Pearce: I think you do the dealing in front of your Wilton and I would reiterate that we are strong believers in the synchronicity of partnership. I think what we got here is two independently married organization with very complementary skill set and this is a win-win scenario for both companies and that’s the scenario we are really well used to, we live it with everyday with more than 600 distribution partners and this is a tremendous addition to that. You will see that when we decided to support SkyWave in bringing itself and it’s being scaled flat by emerging with GlobalWave, we did that – again primarily by partnering not by owning and I think we get both products little benefits from that. So it’s doing the deal that’s right in the circumstances and here I think it’s real complementary in the way the deal has been put together.
Wilton G. Fry – Merrill Lynch International: Understood. Thanks.
Rupert Pearce: Welcome.
Operator:  And your next question comes from the line of Anthony Cambeiro from Anthology Capital. Please go ahead.
Anthony Cambeiro – Anthology Capital Group: Hi, guys. Congratulations on the deal. I have a question, a couple of questions, for you, Marc. Will the Inmarsat subs, the subs that are on the Inmarsat platform that are coming through you, will you be reporting them as ORBCOMM subs in your earnings reports? The second question is, what kind of ARPU do you expect to generate from Inmarsat subs? And what is the rev share or the wholesale rate, you're paying to Inmarast for that? And finally, I assume that the Inmarsat modem and offering will be delivered as well not only through your direct relationship, but also through all your 100 and something value added retailers? Thanks.
Marc J. Eisenberg: Sure. Anthony, you asked a lot of questions there. So let me see if I remember them all. In terms of the subscribers, going forward, the subscribers that are purchased using the technology that we’re creating over the Inmarsat network will be ORBCOMM subscribers, but there is no current subscribers that I am aware of that will be transferred over something like that, but other than the 12,000 subscribers that ORBCOMM has on the Inmarsat network today. I think your next question was something around the business model and around the ARPUs. ORBCOMM is going to literally buy bandwidth from Inmarsat on a per subscriber basis to begin. That may evolve over time and the ARPUs would be similar to OG1 ARPUs if the data was similar, but the ISAT packets are going to be a little bit larger just because of the technology. And because of the higher packets, we anticipate that the ARPUs would be slightly higher. What was your third question?
Anthony Cambeiro – Anthology Capital Group: And then just I assume you are selling this, going to be selling it through all your VARs as through you subsidiaries if you want that are going direct to customers.
Marc J. Eisenberg:
Anthony Cambeiro – Anthology Capital Group: Perfect. Well, gentleman, thank you and good luck.
Rupert Pearce: Thanks so much.
Marc J. Eisenberg: Thank you.
Operator: (Operator Instructions) And the next question comes from the line of Chris Quilty from Raymond James. Please go ahead.
Chris D. Quilty – Raymond James & Associates, Inc.: Marc, just a clarification. You mentioned the higher inclined orbit for the OG2 constellation. Is that incremental to what you had already planned because I know OG2 was already moving, are you moving it again as a result of this collaboration?
Marc J. Eisenberg: OG1 is at 45 degrees. OG2 is contemplated at 52 degrees. So it’s going to go higher and 52 degrees will give us coverage probably somewhere all the way up into the low 60s in terms of latitude with a very inexpensive antenna. We’re looking maybe there is an opportunity to go a degree or two higher, but that’s where we are today.
Chris D. Quilty – Raymond James & Associates, Inc.: Okay. And final question, just on hardware. What are the power and battery requirements or implications of incorporating an ISAT device into your modem?
Marc J. Eisenberg: Into our hardware or into our…?
Chris D. Quilty – Raymond James & Associates, Inc.: Yes, into your hardware, excuse me.
Marc J. Eisenberg: This thing is going to be pretty good from a power standpoint. We don’t anticipate today using that particular solution in a battery only mode, like a pack of AA batteries. For our heavy equipments applications, that has accessed the power. There is absolutely no issue there at all.
Chris D. Quilty – Raymond James & Associates, Inc.: Got you. All right. Thank you very much.
Operator: Mr. Eisenberg, there are no further questions at this time. I would turn the floor back to you for any closing remarks.
Marc J. Eisenberg: Thank you. Rupert and I are excited to share the news of this collaboration with you today and we’re confident that it will lead to even greater things for both companies. By setting the standard for satellite solutions in the global M2M market, three-quarters of the Inmarsat industry focused on M2M will be sharing this same platform which is pretty amazing if you think about it. We’re proud to be working with Inmarsat to launch this compelling multi-network offering which will revolutionize how M2M industry does the business. We also look forward to further collaboration with Inmarsat and we’ll update you as the relationship continues to develop. Thank you all for joining us today and for your questions.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating and please disconnect your lines.